Operator: Good morning, ladies and gentlemen, and welcome to the Suburban Propane Partners Third Quarter Earnings Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, August 8, 2024. I would now like to turn the conference over to Davin D'Ambrosio, Vice President and Treasurer. Please go ahead.
Davin D'Ambrosio: Great. Thank you, Chris. Good morning, and thank you for joining us for our fiscal 2024 third quarter earnings conference call. I'm here with Mike Stivala, our President and Chief Executive Officer; Mike Kuglin, our Chief Financial Officer; and Steve Boyd, our Chief Operating Officer. This morning we will review our third quarter financial results along with our current outlook for the business. Once we've concluded our prepared remarks, we will open the session to questions. Our conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended, relating to the partnership's future business expectations and predictions, financial condition, and results of operations. These forward-looking statements involve certain risks and uncertainties. We have listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which are referred to as cautionary statements in our earnings press release, which can be viewed on our website at suburbanpropane.com. All subsequent written and oral forward-looking statements attributable to the partnership or persons acting on behalf - are expressly qualified in their entirety by such cautionary statements. Our Annual Report on Form 10-K for the fiscal year ended September 30, 2023, and Form 10-Q for the period ended June 29, 2024, which will be filed by the end of business today, contain additional disclosures regarding forward-looking statements and risk factors. Copies may be obtained by contacting the partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures as well as a discussion of why we believe this information to be useful in our Form 8-K, which was furnished to the SEC this morning. Form 8-K will be available through a link in the Investor Relations section of our website. At this time, I'd like to turn the call over to Mike Stivala for some opening remarks. Mike?
Mike Stivala: Thanks, Davin, and good morning. Thank you all for joining us today. The fiscal 2024 third quarter presented significantly warmer than normal weather and in many areas extreme heat, which followed a winter heating season that was 9% warmer than normal, and lacked sustained cool temperatures in the critical months for heat-related demand. Average temperature for our fiscal 2024 third quarter were 14% warmer than normal, unlike the prior year third quarter, which benefited from colder average temperatures that generated a late burst of demand from our residential customer base. While the warm weather negative impacted customer demand for heating purposes in the third quarter, we benefited from growth in our counter-seasonal customer base. Overall volumes for the third quarter were 8.6% lower than the prior year third quarter. As we have consistently demonstrated in the past, our field operations personnel continue to do an excellent job, managing selling prices and leveraging our efficient operating model to help manage costs, which help mitigate the impact of warmer weather on earnings. For the quarter, adjusted EBITDA was $27 million, a decrease of $6 million from the prior year third quarter, but in line with our expectations for this shorter period, despite the warmer weather. In our renewable natural gas operations, during the third quarter, we continued to drive operational excellence, increase feedstock intake and production levels, and grow revenue opportunities. In fact, the operational enhancements we have implemented have resulted in an increase in feedstocks processed and higher levels of daily RNG injection at our Stanfield facility, reaching a daily peak injection level as high as 1,500 MMBtus in the quarter. RNG injection for the quarter as a whole averaged around 1,000 MMBtus per day, as the facility did experience extended periods of limited injection, resulting from power outages from severe storms in the area. In addition, revenues in the facility have been adversely impacted by lower prices for California LCFS credits, and to a lesser extent lower benchmark natural gas prices, but benefited from higher D3 RIN values. Both the Stanfield and Columbus facilities reported higher revenues from tipping fees, resulting from increased intake of food, beverage, and other waste feedstocks compared to the prior year third quarter. Additionally, during third quarter, we utilized excess cash flow to acquire two small retail propane businesses in strategic markets in Florida and Nevada, for a total investment of nearly $13 million, and we also repaid $10.5 million of outstanding debt under our revolving credit facility. We also continue to advance our capital improvement plans for the installation of RNG upgrade equipment at our Stanfield - at our Columbus, Ohio facility and the construction of our anaerobic digester facility at Adirondack Farms in Upstate, New York. As I mentioned on last quarter's earnings call, we expect both facilities to be completed in the second half of calendar 2025. Therefore, despite the challenges resulting from warm weather in fiscal 2024, we continue to execute on our long-term strategic growth plans, which include investing in the growth of our core propane business, and building out our renewable energy platform, while maintaining a disciplined approach to deploying additional capital in order to foster the growth, and strength of the balance sheet. In a moment, I'll come back for some closing remarks, however, at this point, I'd like to turn the call over to Mike Kuglin to discuss the third quarter in more detail.
Mike Kuglin: Thanks, Mike, and good morning, everyone. To be consistent with previous reporting, as I discuss our third quarter results, I'm excluding the impact of unrealized mark-to-market adjustments on our commodity hedges, which resulted in an unrealized loss of approximately $3 million in the third quarter of fiscal 2024, and fiscal 2023, along with certain other non-cash items and acquisition-related transaction costs. Given the seasonal nature of our business, we typically experience a net loss in the third quarter of our fiscal year, with that said, the net loss for the third quarter was $8 million, or $0.12 per common unit, compared to a net loss of $1.5 million, or $0.02 per common unit, in the prior year. Adjusted EBITDA for the third quarter was $27 million, compared to $33 million in the prior year. As Mike mentioned, our earnings for the quarter, were impacted by lower heat-related demand resulting from a continuation, of a seasonably warm weather, but benefited from unit margin expansion, controlling operating expenses, and greater contribution from our RNG operations. Retail propane gallons sold in the third quarter were 71.7 million gallons, which was 8.6% lower than the prior year, primarily due to warmer weather across most of our operating footprint. Average temperatures as measured in heating degree days were 14% warmer than normal, and 10% warmer than the prior year third quarter. From a commodity perspective, wholesale propane prices, were somewhat range-bound during the quarter, but generally trended lower. However, the pace of the decline trailed the sharp decline experienced in the prior year, resulted in average wholesale prices increasing 11.5%, compared to the prior year third quarter, basis Mont Belvieu. At the end of the third quarter, the nation's propane inventories were at 75.8 million barrels, which was 7% lower than June 2023 levels, but remain elevated compared to historical averages for this time of the year. Excluding the impact of the mark-to-market adjustments on our commodity hedges, as I mentioned earlier, total gross margin of $163.4 million for the third quarter decreased $7.8 million, or 4.5%, compared to the prior year, primarily due to lower volumes sold, partially offset by higher unit margins and higher margin contribution from our RNG business. Propane unit margins for the third quarter increased $0.07 per gallon, or 3.8% compared to the prior year. With respect to expenses, combined operating and G&A expenses of $135.1 million for the third quarter decreased $2.3 million, or 1.7% compared to the prior year, primarily due to lower variable operating costs, which includes fuel costs, overtime, and other costs that flex with volume sold was lower variable compensation and cost savings and efficiencies realized in our RNG operations. Partially offsetting those savings was an increase in self-insurance accruals, for a legal matter that was settled during the quarter. Net interest expense of $18.4 million for the third quarter was marginally lower than the prior year as savings from a lower level of average outstanding borrowings under our revolving credit facility, were offset by higher benchmark interest rates for borrowings under the revolver. Total capital spending for the quarter of $14.7 million, was $5.3 million higher than the prior year, primarily due to growth capital from advancing our construction efforts at our Columbus and Adirondack facilities, as well as spending on propane dispensers, and cylinders to support growth within our commercial customer base, and the timing of fleet purchases. While we continue to make progress with construction efforts at our RNG facilities, the level of CapEx spending in the current fiscal year will be below the low end of the range that we have previously discussed, primarily due to timing. Our current estimate for capital spending for the RNG projects is expected to range between $10 million to $20 million in fiscal 2024, and between $35 million to $45 million in fiscal 2025. Our annual CapEx estimates for our propane operations, are expected to be consistent with historical levels, which is between $40 million and $45 million. Turning to our balance sheet, during the third quarter, we repaid $10.5 million of borrowings under the revolver with cash flows from operating activities, and our consolidated leverage ratio for a trailing 12-month period ended June 2024 was 4.68 times. Although the leverage metric remains elevated, relative to our historical levels following the RNG acquisition, and from the impact of the warm weather on earnings, we remain well within our debt covenant requirement of 5.75 times, and continue to make progress on strengthening the balance sheet with debt repayments from excess cash flows. We will continue to remain focused on utilizing excess cash flows, to fund the planned growth capital within our RNG platform, as well as to strengthen the balance sheet, and as opportunities arise to fund strategic growth of our core propane business and our renewable energy portfolio. We have more than ample borrowing capacity under our revolver, to support our capital expansion plans and ongoing strategic growth initiatives. As we continue to focus on the execution, of our long-term strategic goals, we will also stay focused on maintaining a strong balance sheet. With that, I'll turn the call back to Mike.
Mike Stivala: Thanks, Mike. As announced on July 25, our Board of Supervisors declared our quarterly distribution of $0.325 per common unit in respect of our third quarter of fiscal 2024, which equates to an annualized rate of $1.30 per common unit. Our quarterly distribution will be paid on August 13 to our unitholders of record as of August 6. Our distribution coverage continues to remain healthy at 1.91 times for the trailing 12 months ended June 2024. Just to reflect a moment on our results through the first nine months of fiscal 2024, and the state of the business. Overall performance through the first nine months, was certainly affected by the lack of heat-related customer demand, throughout the vast majority of the heating season and into the third quarter. Propane volumes decreased by 3.9%, compared to the same nine-month period last year, despite heating degree days that were at times significantly warmer than the prior year. Our management team has managed through these warm weather scenarios, many times in the past and our experience and best-in-class business model, coupled with some growth in our non-weather dependent customer segments, helped to mitigate the effects on the bottom line. Our core propane business remains strong. In fact, even with the weather-related earnings shortfall, compared to the prior year, our excess cash flows and strong liquidity position provide capital to continue to invest in growth opportunities in both our core propane business, and our renewable energy platform. As society continues to seek alternatives, for lowering carbon intensity across all aspects of the economy, we are starting to see increased recognition and momentum building, for the benefits of propane as an immediate, and as a long-term solution in the energy transition. In line with our Go Green with Suburban Propane Corporate pillar, we are continuing to foster the growth of our Core Propane business through advocacy and innovation while also investing in the build-out of an interconnected renewable energy platform, for the long-term growth of Suburban Propane. As we have stated in the past, we manage this business for the long-term and are making strategic investments, to set the business up for the next 95 years. And with some of the softness in the broader economy, challenging geopolitical events, and volatility in the stock market, the continued strength of our distribution coverage and focus on balance sheet strength should provide our unitholders with a level of comfort in the long-term sustainability of Suburban Propane in an otherwise uncertain market. Finally, I want to take this opportunity to thank the more than 3,200 employees, at Suburban Propane for their hard work and unwavering focus, on the safety and comfort of our customers and the communities we serve. Thank you, for all that you do every day, and as always, we appreciate your support and attention this morning. And now I'll turn the call over to Chris to see if we have any questions. Chris, you want to help us?
Operator:
Mike Stivala: Great. Thank you, Chris. Again, thank you all for joining us. We look forward to speaking with you again, at the end of our fiscal year in November. I wish you all a good end to the summer, and please, as always, be safe.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines.